Operator: Thank you for your continued patience. Your meeting will begin shortly.
Leo: Please standby, your meeting is about to begin. Afternoon. My name is Leo. I will be your conference operator. At this time, I would like to welcome everyone to Intuit Inc.'s First Quarter 2026 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer period. With that, I'll now turn the call over to Kimberly Anderson Watkins, Intuit Inc.'s Vice President of Investor Relations. Ms. Watkins?
Kimberly Anderson Watkins: Thanks, Leo. Good afternoon and welcome to Intuit Inc.'s first quarter fiscal 2026 conference call. I'm here with Intuit Inc.'s CEO, Sasan K. Goodarzi, and our CFO, Sandeep Singh Aujla. Before we start, I'd like to remind everyone that our remarks will include forward-looking statements. There are a number of factors that could cause Intuit Inc.'s results to differ materially from our expectations. You can learn more about these risks in the press release we issued earlier this afternoon, our Form 10-Ks for fiscal 2025, and our other SEC filings. All of those documents are available on the Investor Relations page of Intuit Inc.'s website at intuit.com. We assume no obligation to update any forward-looking statement. Some of the numbers in these remarks are presented on a non-GAAP basis. We've reconciled the comparable GAAP and non-GAAP numbers in today's press release. Unless otherwise noted, all growth rates refer to the current period versus the comparable prior year period, and the business metrics and associated growth rates refer to worldwide business metrics. A copy of our prepared remarks and supplemental financial will be available on our website after this call ends. With that, I'll turn the call over to Sasan.
Sasan K. Goodarzi: Thanks, Kim, and thanks to all of you for joining us today. We delivered an outstanding quarter with Q1 revenue growth of 18%, reflecting the momentum we have across the company. Our AI-driven expert platform strategy is fueling strong growth by helping businesses manage from lead to cash, consumers from credit building to wealth building, all in one place. We're becoming the system of intelligence, leveraging data, data services, AI, and human intelligence, which we will refer to as HI, that everyone depends on to power their prosperity and fuel growth. We're doubling down on the three big bets we shared at Investor Day, which represent our largest future growth opportunities. First, delivering done-for-you experiences with AI and HI, where customers never lift a finger but are always in control. Second, we're excited by putting money at the center of everything we do. Last month at Intuit Connect, our flagship event that reaches the leading accounting firms and mid-market businesses, we brought to life the power of our AI-driven expert platform strategy. We showcased our all-in-one business platform where a team of AI agents and AI-enabled human experts automate tasks, workflows, business functions, and provide a single pane of glass for customers' KPIs and dashboards all in one place. We also shared the strong early impact of our AI agents delivering just after four months in the market. We marked the one-year anniversary of Intuit Enterprise Suite, our AI-native ERP platform that is disrupting the mid-market. We are proud of the massive advancements we've made, including serving industry-specific needs and building more sophisticated go-to-market motions, including partnering with accounting firms to add new customers to our platform. We introduced Intuit Intelligence, a revolutionary system of intelligence where customers can ask anything. For example, customers can ask questions like, "How can I accelerate revenue in the next six months?" "How can I improve margins?" "Can you show me how to lower my cost of goods sold?" and "Can you add the performance of my top sales reps to my dashboard?" Using customers' data and any external data they wish to upload, Intuit Intelligent Actionable Answers will execute on a customer's behalf or hand off to a human expert. We have thousands of customers in beta and plan to be GA soon. Finally, we unveiled Intuit Accountant Suite, an AI-native offering that will transform accounting firms' efficiency and effectiveness in managing their clients, firm, and workforce, all to fuel their success. The suite provides client management and collaboration, multi-service delivery, business planning, and team management all in one place. Soon, we'll be launching more advanced capacity planning, productivity, and collaboration capabilities. Over time, firms can integrate to other functions. This is a game-changer and significantly deepens our partnership with accountants, fueling faster mid-market penetration. And for accountants, it drives tech stack consolidation and efficiency for their firm and encourages them to migrate clients to QBO Advanced and Intuit Enterprise Suite. Attendees walked away from Intuit Connect blown away by the amount of innovation in the last year and a clear message that we are well-positioned to fuel their growth. We're continuing to see momentum with our virtual team of AI agents, with 2.8 million customers leveraging these agents to do the work for them. Our accounting agent is saving customers up to twelve hours a month, and our payments agent helps customers get paid on average five days faster. We recently launched a payroll agent that automates tasks that typically take mid-market businesses two to three hours to complete each month, such as collecting hours directly from employees, spotting anomalies, generating insights, and sending customers a ready-to-approve draft of their payroll via text. We also launched a sales tax agent, which automatically helps businesses stay compliant. The combination of AI and HI is resonating. QuickBooks Live customer growth of 61% in Q1. Zooming out, it's clear we are delivering done-for-you experiences with AI and HI that will eventually do everything for our customers, powering their growth, saving them time and money, and consolidating their tech stack. We're making strong progress across our all-in-one platform, which includes accelerating money benefits by putting more money at the center of everything we do. We saw total online payment volume for our payments and bill pay customers grow 29%, reflecting continued momentum in helping our customers get paid faster and better manage their cash flow. Turning to the mid-market, we continue to make strong progress serving larger and more complex customers, with approximately 40% growth for online ecosystem revenue for QBO Advanced and Intuit Enterprise Suite in Q1. Mid-market customers are over-digitized, with their data trapped in a number of applications that take too much time and money to manage. Our offerings help businesses achieve their growth goals by automating complex tasks, workflows, and functions, and delivering insights and recommendations all in one place. Our AI-native ERP platform is disrupting the legacy way of managing their business, and the ROI is clear. With a Forrester study estimating that customers can see nearly 300% return on investment over three years when using Intuit Enterprise Suite. This value proposition is resonating. For example, a large customer with over 200 entities that we signed in Q4 quickly realized the value of our platform and expanded their contract to include an additional 46 entities in Q1. In aggregate, the total number of IES contracts at the end of the quarter was nearly 50% higher than it was at the end of Q4. We're also seeing early momentum with our accountant partnership strategy to bring new customers to Intuit Enterprise Suite. As a result of our partnership with Aphrio, a top 25 business advisory and accounting firm, we've already signed several new customers in multiple verticals. Earlier this month, we also signed accountant partnerships with Cherry Becker, a top 25 advisory tax assurance firm with clients across 14 industries, Raymond, a top 40 professional advisory firm that provides accounting assurance and other business services to clients across 11 industries, and Cogan and Taylor, a top 100 advisory tax accounting assurance and technology firm with clients across seven industries. We have many other opportunities of similar scale in the pipeline. Turning to our consumer platform, our AI-driven expert platform is delivering done-for-you experiences for consumers from credit building to wealth building to make smarter financial decisions year-round with confidence. We're seeing strong momentum in the areas that matter most, with 51% in Q1 reflecting continued strength as we concluded the 2024 tax season. Credit Karma had a strong quarter. In fiscal year 2025, we saw several point increases in share of member originations for personal loans and credit cards. We believe share gains continued in Q1 as members and partners find value in our platform. These strong results and the introduction of significant innovation with Done For You experiences, AI-powered local expertise, and faster access to money show the power of one consumer platform. Our done-for-you innovations include Credit Spark, everyday payments to build your credit score, as well as several agentic AI assistants. For example, our debt assistant will craft and deliver personalized debt pay-down plans. Our refund assistant will give a personalized recommendation when the customer receives their tax refund to pay down debt, build an emergency fund, build credit, or invest for the future. And with our tax assistant, consumers who answer easy quick questions in Credit Karma year-round can have up to 80% of their taxes ready to go at tax time. We're also expanding our AI-powered local presence, making local expertise more accessible than ever with a larger service footprint. As customers are five times more likely to book up with a pro within 50 miles, this local presence will also help us further scale business acts, which grew 3x last year. With our virtual or in-person filing and consultation option, we're offering the best experience, price, and speed to money. This is data, AI, and HI powering prosperity for consumers and businesses. One of our superpowers is experimenting and learning from our customers and then scaling what works. The results from more than 300 tests we ran in Q1 bolster our confidence in our strategy to win. We're excited about the growth potential for our all-in-one consumer platform with an untapped opportunity to penetrate a $142 billion consumer TAM. We have significant momentum across the company and are obsessively focused on execution with high velocity and fueling the success of our customers. Intuit Inc.'s brightest days are ahead of us. Let me now hand it over to Sandeep.
Sandeep Singh Aujla: Thanks, Sasan. We delivered a strong 2026 across the company. Our first quarter results include revenue of $3.9 billion, up 18%, GAAP operating income of $534 million versus $271 million last year, non-GAAP operating income of $1.3 billion versus $953 million last year, GAAP diluted earnings per share of $1.59 versus $0.70 a year ago, and non-GAAP diluted earnings per share of $3.34 versus $2.50 last year, reflecting our overall disciplined approach to managing the business, including continued AI efficiencies. Turning to the business segments, starting with the Global Business Solutions Group, we continue to make progress serving businesses with our all-in-one platform and delivering done-for-you experiences with expertise. Global Business Solutions Group revenue grew 18% during the quarter, or 20% excluding Mailchimp, while Online Ecosystem revenue grew 21% in Q1, or 25% excluding Mailchimp. This includes approximately 40% growth for Online Ecosystem revenue for QBO Advanced and Intuit Enterprise Suite that serve the mid-market. All-in Ecosystem revenue for small businesses and the rest of the base grew a strong 18%. We saw robust growth in both online accounting and online services in Q1. QuickBooks Online Accounting revenue grew 25% from higher effective prices, customer growth, and mix shift. Online services revenue grew 17% in Q1, or 26% excluding Mailchimp. This growth was driven by money, which includes payments, capital, and bill pay, as well as payroll. Within money, revenue growth in the quarter reflects payments revenue growth, which was driven by customer growth, an increase in total payment volume per customer, and higher effective pricing, as well as 29% in Q1, reflecting our continued momentum in payments and adoption of our bill pay offering. All-in payment volume growth excluding bill pay was 18%, relatively consistent with the range you've seen over the last several quarters. Within payroll, revenue growth in the quarter reflects mix shift, customer growth, and higher effective prices. Within Mailchimp, revenue was down slightly versus a year ago, in line with our expectations for the quarter. We continue to target double-digit growth for Mailchimp exiting fiscal 2026. We are seeing strong results from a mid-market sales team within Mailchimp with several recent larger customer wins, as well as increasing retention rates in the mid-market segment. We are continuing to invest more in go-to-market for these higher-value customers and beginning to increase broader go-to-market spend to drive acquisition of smaller customers. Turning to desktop, Desktop ecosystem revenue grew 6% in Q1, and QuickBooks Desktop Enterprise revenue grew in the low double digits in Q1. We expect desktop ecosystem revenue to grow low single digits in fiscal 2026. Turning to our consumer platforms, we are pleased with our strong momentum. Q1 revenue grew 21%, driven by 27% TurboTax revenue growth, 6% Protex revenue growth, and 15% Credit Karma revenue growth. Within 13 points of growth, credit cards accounted for 10 points, and auto insurance for three points. Looking ahead, the results from more than 300 go-to-market and product experience tests run during Q1 bolster our confidence in our strategy to win this upcoming tax season. We are excited about the opportunity ahead for our all-in-one consumer platform powered by AI, human intelligence, and data to empower customers to take year-round control of their finances, from credit building to wealth building, while driving monetization for Intuit Inc. Shifting to our balance sheet and capital allocation, our financial principles guide our decisions that remain our long-term commitment and are unchanged. We finished the quarter with $3.7 billion in cash and investments and $6.1 billion in debt on our balance sheet. We repurchased $851 million of stock during the first quarter. Depending on market conditions and other factors, our aim is to be in the market each quarter. The board approved a quarterly dividend of $1.20 per share payable on January 16, 2026. This represents a 15% increase versus last year. Moving on to guidance, we are reaffirming our fiscal 2026 guidance. This includes total company revenue of $20.997 billion to $21.186 billion, growth of 12% to 13%. Our guidance includes Global Business Solutions Group revenue growth of 14% to 15%, up 15.5% to 16.5% revenue growth excluding Mailchimp. Our guidance also includes overall Consumer Group revenue growth of 8% to 9%, including TurboTax growth of 8%, Credit Karma growth of 10% to 13%, and Protex growth of 2% to 3%. GAAP diluted earnings per share of $15.49 to $15.69, growth of 13% to 15%, and non-GAAP diluted earnings per share of $22.98 to $23.18, growth of 14% to 15%. We expect a GAAP tax rate of approximately 23% in fiscal 2026. Our guidance for 2026 includes total company revenue growth of 14% to 15%, GAAP earnings per share of $1.76 to $1.81, and non-GAAP earnings per share of $3.63 to $3.68. You can find our full fiscal 2026 and Q2 guidance details in our press release and on our fact sheet. Before I turn it over to Sasan, I want to share that Kimberly Anderson Watkins has made the decision to leave Intuit Inc. to pursue a new opportunity outside the company. This will be her last earnings call. I want to take a moment to thank her for her tremendous contributions and partnership over the years. She's built a strong, highly respected Investor Relations team and has strengthened our relationship with the investment community in meaningful ways. Jeff Koehler, who has been a key part of the team, will step in as acting Head of IR. We're deeply grateful for all that Kim has done and wish her the very best in the next chapter. With that, I'll turn it back over to Sasan.
Sasan K. Goodarzi: Great. Thank you, Sandeep. We are well on our way to becoming the system of intelligence enabling financial success for consumers, businesses, and accountants. Given our early bets on AI, our low penetration of our large $300 billion TAM, the significant investments we've made in the last decade, and our momentum, we are well-positioned to power the prosperity of our customers and win in the era of AI. Let's now open it up to your questions.
Operator: Thank you. From Kirk Materne of Evercore ISI. Please go ahead.
Kirk Materne: Yes. Thanks very much for taking the question, guys, and congrats on a nice start to the year. And Kim, congrats on your next venture. Sasan, the question for you, a lot of questions from clients this week on the OpenAI arrangement and deal you announced. Can you just give us a little bit more color on if there's any sort of revenue share as part of this deal? I think there's also some questions about sort of how data obviously, you guys have always been very protective of customer data. How does that stay within Intuit Inc. as people are now using Intuit Inc. solutions within OpenAI? Can you just give us maybe a little bit more color on those aspects of the new partnership? Thanks.
Sasan K. Goodarzi: Yes. Thank you for your question. First of all, I'll start by saying it's an absolutely game-changing partnership and everything starts with people and the relationships to make any long-term partnership work, and the relationship with OpenAI is really magnificent. With that said, the way to think about this before I get to the specifics of your question is this is a huge opportunity for us to accelerate new customer growth. You have 800 million weekly active users that are engaging within the platform, and we have an opportunity to power their prosperity. Now to answer your question, I'll just break it very quickly into three buckets: experience, data and models, and economics. On the experience front, what happens today is when customers are asking questions about getting access to financial products like cards, loans, building their credit score, or how to grow their business, they get good yet generic answers, but that will change tomorrow. The way it's going to change is that our Intuit Inc. apps will be deeply integrated within ChatGPT, which means tomorrow you get the power of all of the Intuit Inc. platform and apps within ChatGPT. The experience, which I can get into a lot more detail if you all wish, will be game-changing because we'll know who you are, we will be able to leverage the power of our data and all of our models to be able to deliver experiences that are very personalized to you, just like the experiences you get when you're within an Intuit Inc. app today. So the experience will be absolutely game-changing for consumers and businesses and truly power their actions and insights within ChatGPT. The second on data and models, nothing changes from what we do today. Customers will be engaging within the Intuit Inc. app, they'll be within the Intuit Inc. four walls. We will continue to train our Intuit Inc. large language models with the customer's data, our data privacy, security, and privacy principles are unchanged. And that's very important because one of the game-changing elements that OpenAI is excited about is the fact that customers will be able to get accurate, secure answers that are personalized all within ChatGPT. So that's on the data and model. Nothing is unchanged from the way we operate today. On the economics, it is as the economics are today. There's no revenue share. And so the economics that we enjoy today when directly working with customers, we will enjoy tomorrow. And I'll just end with, you know, we're really excited about the partnership, by having access and working side by side with the OpenAI team, having access to their frontier models because, as you know, Intuit Inc.'s large language models are what gets trained by the customer's data, does not leave our four walls. But it also has the agency and authority to deliver the experiences and use other models, and we're excited about the acceleration of the use of some of their models that the RLMs will put in place. So I think those would be the headlines, Kirk, that I would share.
Kirk Materne: That's great. Thanks very much. Congrats on the quarter.
Sasan K. Goodarzi: Very welcome.
Operator: We'll move next to Sitikantha Panigrahi of Mizuho. Please go ahead. Your line is open.
Sitikantha Panigrahi: Thank you. Congrats again and a great start to this year. I wanted to dig into the mid-market so Sasan, which is one of your drivers for the aspirational goal to accelerate growth. First on IES side, it's been a year and you had 250 sales set, how is the productivity has been going on? And any plan to add more headcounts to this mid-market and also the partnership you announced, when should we start seeing that translate to revenue?
Sasan K. Goodarzi: Yes. Thanks for the question, Siti. I'll break it down into three things: awareness, our platform innovation, and accountants. First and foremost, we're just starting to press on the gas with awareness. In terms of showing up at conferences, we were just at the faith conference in New York. We were everywhere to raise awareness because as much success as we've had, very few people still know about Intuit Enterprise Suite and what a disruptive, AI-driven, and AI-native ERP platform that it is. So we're doing a lot around awareness. One element is conferences and webinars, to really get the word out there. The second is the platform innovation is just accelerating, and it's having a dramatic impact with customers now across many verticals starting to refer us to customers like them, whether it's wealth management, dentists, or construction. The impact from our innovation and now beginning to customize and launch vertical-specific KPIs and dashboards is incredibly important and incredibly powerful. And more than ever, we win on experience, price, and total cost of ownership. The third is around accountants. We're just getting that flywheel going. In fact, we redirected a number of our internal sales folks above and beyond the 250 that you referred to, which I'll get to in a moment, that really are providing coverage across our large accounting firms. What you should look at is these are really best to come. We expect acceleration from these large partnerships that we've announced and many that are in the works to contribute to the back half of the year and into next year. Actually, not counting on that, but it's an important point to put out there, which is this is where the network effect comes in because we had the largest firms at Intuit Connect and I personally have been meeting with these large firms and they're blown away by our innovation and how they can use our platform to be able to drive accelerated growth and our productivity is significantly improving when we look at the last several quarters and we would expect to start adding more headcount in coming quarters. So those would be the way I would break down the answer to your question. We're really excited and bullish about what's possible.
Operator: We'll move next to Brad Alan Zelnick of Deutsche Bank. Please go ahead. Your line is open.
Brad Alan Zelnick: Great. Thanks so much and my congrats and Kim congrats on a fantastic run. It's been great and look forward to your next chapter. Maybe for you, can you talk us through any of the learnings that came out of this extension season on tax and those might apply to the season ahead? And maybe for Sandeep, saw the announcements around the TurboTax office footprint expanding which seems to clearly reflect leaning in on local search. How are you thinking about the investments necessary to sustain 15% to 20% assisted growth this year? And maybe how do they compare to last year? Thanks so much.
Sasan K. Goodarzi: I'll get us started and then I'll let Sandeep take over on your question. First of all, Brad, I've been with the company twenty plus years. I've never been more bullish than the season we're about to step into. And the reason is all of the innovation across the platform. We ran, as we talked about earlier, 300 significant experiments from platform innovation to go-to-market tests inclusive of a lot of what we're doing to show up locally, which is the question you asked a moment ago for Sandeep. And just across what's possible for consumer tax and business tax, we are incredibly bullish and the bullishness comes from really three fronts. One, a lot of the work that we've done around data and AI that makes it far simpler and easier for folks to get their taxes done and get early access to their money to the innovation end-to-end to deliver a great experience at a great price for those that use the prior year assisted method from how we're leveraging data and AI concierge to greet customers to get them immediately connected to a live expert where most of the work is done already. By the time they get to the expert to doing a lot of the work for the expert where the expert really becomes a concierge that you would walk up to in a Four Seasons. That's really about the service that they provide, how they make you feel, while we ultimately deliver excellent service. The power of going from 400 locations that we showed up to 600 and then the 20 stores that we talked about with one flagship store that's going to be in New York is about showing up locally. It's also about shaping the market around the fact that we truly have AI plus HI. And once the one opens up in New York, I'd encourage you all to go into it because I think you'll want to sit there and have some coffee. It's tech-forward. It's friendly. It's warm. By the way, money in your pockets quickly, so I'll end with where I started before Sandeep takes over, which is I have not been this bullish going into a tax season, given the amazing work of the team.
Sandeep Singh Aujla: Hey Brad, it's Sandeep. On local, key to winning in the as we have shared that our we see that customers convert five times better there's a local expert within a 50-mile radius of their location. And we are planning 600 expert locations, so that's up from 400 last year and as Sasan mentioned a unique flagship store in New York City. This is all part of our strategy of ensuring that we are showing up in key high-density areas and covering a majority of the tax filing population in the United States. And this showing up local, we know really extends the trust people have in the brand, it drives adoption. And our tests also show that 39% of full-service customers preferred zero-touch approach to engagement. So it's really more of a driving that trust. In terms of our investments, our approach to showing up local is truly asset-light and is scalable without long-term commitments. The rent OpEx cost here are relatively small. They're all included in part in our guidance that we gave earlier today.
Brad Alan Zelnick: Thank you, both.
Sasan K. Goodarzi: Very welcome.
Operator: We'll move next to Keith Weiss of Morgan Stanley. Please go ahead. Your line is open.
Keith Weiss: Excellent. Thank you guys for taking the Congratulations on a really strong start to the fiscal year. And I'll also add my congratulations to Kimberly Anderson Watkins. Truly has been a great partner to the financial community at Intuit Inc. So congratulations and best of luck on the new endeavors. You guys had a really solid quarter. We saw it in the Global Business Solutions. There's a lot of concern out there about the health of the overall U.S. consumer. And I know you guys get a lot of signals. So can you help us walk through if any of your signals turned or if this was more so Intuit Inc. just doing very well in what could be a shaky environment? Help us get a little bit of confidence about the durability of these types of results throughout the year.
Sasan K. Goodarzi: Yes, Keith, thank you for that question. I'll actually tag team this with Sandeep. I would say two things. One, what we see in our data across 100 million consumers and 10 million plus businesses that we serve is stability. To provide more specifics, you know, profits and cash flows are stable and up. One of the things Sandeep and I and the team looked a lot at is payroll hours worked, and payroll hours worked are actually up. And as you can imagine, we're not concentrated in any particular industry. So we see a lot of industries. So if you double click, you see things like IT services, construction, manufacturing that are actually up quite nicely compared to the year prior, then you see places like real estate and lending that are down, compared to the prior year. Significantly, but down. And so it's industry-specific. But when you look at the aggregate of what we serve, they're quite successful. From what we see in the data. I think the second thing that I'll just end with is a lot of it is also our platform. And really what the platform is doing to fuel the success of businesses of all types. If you remember one of the things that we shared at Investor Day was that businesses that are on our platform are nearly 20 points more successful in terms of how they thrive their profits versus those that are not on our platform. So our platform is having a real impact on the livelihood of businesses.
Sandeep Singh Aujla: Keith, let me build a little bit on Sasan's point. One thing, as you know, of course, we keep a keen eye on the macro environment, but what also gives us confidence in addition to the stability that we're seeing in the broader environment is the resilience of the Intuit Inc. business. Our offerings are not just nice to have, they are a must-have. In the forty years that we've been around, we've historically seen that when the economy is tougher, our products become more critical. And just also add on and highlight the stats from within our platform, is you saw that our charge volume was up 29% with bill pay up 18% excluding bill pay. On our Credit Karma side, we continue to see strong engagement with our partners. So both the macro data within the platform and also just how the business performed, it continues to give us confidence in the stability and the opportunity that lays ahead.
Keith Weiss: Thanks so much, guys.
Sasan K. Goodarzi: You're welcome.
Operator: We'll move next to Mark Murphy of JPMorgan. Line is open. Please go ahead.
Mark Murphy: Thank you so much. Congrats on the great results and also to Kim in your future endeavors. Sasan, the Credit Karma market share gains of several points in loan originations and credit card issuance are pretty staggering. Because the size of those markets is just utterly vast. Could you speak to whether you see ongoing runway to continue that type of motion where you're chipping away a couple of few points of share every year, maybe by leveraging the TurboTax customer base and that data, maybe by leveraging QuickBooks and the cash flow data has to be of interest to lenders? And at the end of the day, do you think you can create a more holistic financial health score than the traditional providers have?
Sasan K. Goodarzi: Yes. Mark, thank you for your question. Actually love the nature of your question. I would lead with the following. I think now you're seeing the TurboTax Credit Karma platform coming together at work. And, you know, the thing that I would just also add to everything that you just shared around the market share increases is that Credit Karma contributed to an entire point of growth in TurboTax last season, and that's just over time only going to get larger. And it's because of what we are doing, customer back, to help them with problems like getting access to financial products that are right for them. Helping them with how to manage their debt and with our debt assistant actually helping them what they pay down first, second, and third. What they should do with their refund, and just being in their life on an ongoing basis. That's how you take market share. So that's the first point I would make. The second point, which is a more specific point, is this is data, AI, and all of our credit models at work. As you all know, one element of our AI capabilities is Lightbox, where financial institutions have put their credit models, their proprietary credit models as part of Lightbox. And we are able to leverage their credit models to be able to deliver personalized experiences. That's a game changer. And now we have more and more financial institutions that are now putting their credit models as part of Lightbox, don't do that with anybody else. They trusted Intuit Inc. It helps drive growth for them. And it delivers personalized experiences for us. And so I'll end with sort of the essence of the question that you asked. We're just getting started. We have runway and we're just getting started from what's possible to do at the platform. And even access to money and how we can monetize money offerings is yet to come. So we're excited about what's possible.
Mark Murphy: Thank you.
Sasan K. Goodarzi: You're very welcome.
Operator: We'll move next to Daniel Jester of BMO Capital Markets. Your line is open.
Daniel Jester: Great. Thank you for taking my question and also pass along my congrats to Kim. Best of luck. On Mailchimp, appreciate the additional color on the progress that has been made there specifically in the middle market. As we think about the reacceleration to double digits by year-end, is that something that could be accomplished solely through middle market improvement, or does this have to broaden out and also include some of the smaller customers coming back to the fold as well? Thank you.
Sandeep Singh Aujla: Hey, Daniel. Mailchimp, we've taken a number of strategic steps that I feel really confident about. As you mentioned, we have scaled the mid-market sales team to build upon the momentum we have in that segment. We've improved the product experience and the onboarding flow across all customer segments. And now we're scaling up the go-to-market efforts, and those efforts, in addition to adding to the mid-market sales team, are dialing up the marketing on the platform, which we had dialed down while we were working on the product fix. In terms of getting to double digits, it takes a mix of both customers across the smaller customers as well as the mid-market customers. We have good momentum, and it's really going to be around early calendar year and springtime that we'll have a solid read on the Mailchimp progress.
Daniel Jester: Okay. Thank you very much.
Sandeep Singh Aujla: Absolutely. You're welcome.
Operator: We'll move next to Aleksandr J. Zukin of Wolfe Research. Line is open. Please go ahead.
Aleksandr J. Zukin: Hey, Thanks for taking the questions and I apologize for the background noise. I guess maybe can you speak to some of the margin leverage and efficiencies that you're seeing from deploying some increasing AI leverage and just any other efficiencies that you're seeing that are durable given continued outperformance on margins to that we're seeing now for I think, like the third or fourth straight quarter. Anything you can add there would be super helpful.
Sandeep Singh Aujla: Hey, Alex. We continue to feel really confident about the ability as an organization to continue to scale margin that comes not just from efficiency, but we run the business leaning on economies of scale, being disciplined about when and how and where we are allocating capital to maximize ROI on it. And of course, complementing our workforce with AI technology to truly unleash their productivity. Areas that we continue to see strong improvement are across our technology organization, using AI to improve the productivity of the sales force, our time to market with how we are rolling out code. Across our customer success organization. As you know, a lot of that work is rules-based, super applicable for the AI to help complement those areas. And then across our entire organization, whether it's in finance, it's in legal, HR, you name it, using AI to unleash the productivity of our employee base. What you should continue to hold us accountable to is the discipline that we have demonstrated over the past multiple years, the same discipline continues. And it's not just about the AI efficiencies, but it's all about the learning, the culture of seeing what works and where we lean in marketing. Did marketing last year. There's many tests that work and we scaled them. There are other things that didn't work and we shut them off. That's a discipline you should all continue to hold us accountable to.
Aleksandr J. Zukin: Excellent. I just want to give a big shout out to Kim. It's been a true pleasure working with you and can't wait to see where your next adventure takes you. Thank you so much.
Kimberly Anderson Watkins: Thank you, Alex.
Operator: We'll move next to Kasthuri Gopalan Rangan of Goldman Sachs. Your line is open.
Kasthuri Gopalan Rangan: Hard to follow Alex Zukin, but I'm going to try my best. So I look at my congrats to Kim, but also to Jeff incoming. He's been waiting for a while. So well-deserved promotion. The question for you, Sasan, is the delta and growth rates between accounting, which certainly is very, very strong, and online services, a bit of a wider delta than what I would have thought. Maybe some of it has to do with Mailchimp in there. I remember the good old days into it, online services would typically grow faster than accounting because of the payroll payment attached, that sort of thing. Is there a break in that pattern that explains this performance and that you since you're getting going with IES, maybe there's a bit of a heavy accounting finance emphasis and maybe these services will follow suit in the future. If you can just help me understand the cycle of what you're going through, that will be great. And since this is my last Intuit Inc. call, I wish you many successes in your journeys ahead. Thank you.
Sandeep Singh Aujla: Hey, Kash, it's Sandeep. Let me take this one. We continue to see tremendous opportunity across money and payroll offerings on our platform. It's a key part of our addressable market and it's a key part of the $90 billion addressable market that we have on mid-market as well. The deceleration that you're referring to is really due to pricing. That was a contribution in the last four quarters and now we are lapping across both payments and payroll. We continue to see strong momentum in our core business. And would point you to the charge volumes, 18% overall, 29% bill pay, and we're seeing improved adoption of services across both small and mid-sized businesses. As you pointed out with some of these things, it takes a while for those volumes to ramp up as their service providers. Furthermore, the innovation that we're rolling out, whether it's our agents or the new QuickBooks user interface, they provide us more opportunities to build upon the strength we have in platform adoption and services over time. So I would not read too much into the deceleration. We are quite excited about the opportunity that lays ahead.
Sasan K. Goodarzi: And Kash, we wish you an amazing retirement.
Kasthuri Gopalan Rangan: Thank you so much. Much appreciated.
Operator: Cheers to the journey ahead. We'll move next to Raimo Lenschow of Barclays. Your line is open. Please go ahead.
Raimo Lenschow: Hey, thanks. And following Kash is always an honor. Kim, all the best for you as well. Quick question for me was on Credit Karma. You talked about credit card loans driving it, insurance a little bit. How do you think about it in terms of the health of the consumer? Sasan, you talked a little bit about it earlier, but like Credit Karma has been kind of performing a lot better than you guided for several quarters now. Like how confident are you about what you're seeing there? Thank you.
Sasan K. Goodarzi: Yes. Let me start with one element and I'll tag team this with Sandeep and actually it's really important to leverage this opportunity for everyone, to make a really a broader point. Credit Karma is working because of all the innovation that we've done customer back and the integration with TurboTax. So if you really think about the 45 million monthly active users, the fact that they engage more than five times a month, and the fact that we now can help them with so many things more, compared to when we first bought Credit Karma when the member has the opportunity to understand what to do with their debt to get access to financial products like credit cards, personal loans, insurance. Where they can get their taxes done, get help with what they can do with their money, get early access to that money, that customer then engages more and, and engages more because of the trusted benefits and the insights that they're getting, but also the fact that things are personalized, and we're doing it for them. And so that is what helps us then be able to accelerate taking market share that we that Sandeep and I talked about earlier. So that's a really important element to think about. It's not just about the health of the consumer. It's actually about what we are now doing for the consumer that is so far more advantageous for the consumer versus where we were just even a year ago, the two years ago. And from just a health perspective, you know, credit scores and balances are generally stable. You know, credit scores over the last several years have for the near-prime customers and subprime customers have gone down 10 plus points, but they've sort of stabilized. And credit balances and credit card balances, although higher for Gen Z by 20 to 30% now versus a couple of years ago, they've generally stabilized. So that's what we see from a consumer health perspective, but I think the most important is the innovation that I talked about earlier. Let me just also invite Sandeep to add a few thoughts.
Sandeep Singh Aujla: Raimo, the only thing additional I would double down on is further that we're driving across the platform. It's that innovation that's helping our partners see better ROI of their spend on our platform, which is why we continue to take share. That's a tailwind into the business driven by innovation. Also from a consumer point of view, if the economy does get to a place where the consumer is under pressure, they'll be looking to a trusted platform to understand where they can consolidate debt on personal loans. Keep in mind, some of these near-prime customers, if they apply for a credit card, where they get dinged, they could become subprime and this is where our innovation such as Lightbox gives the customer the utmost confidence of their odds of getting approved. These are all innovations that are key to driving confidence and allowing us to continue to take share regardless of the macro environment.
Raimo Lenschow: Okay, very clear. Thank you, both.
Sasan K. Goodarzi: You're very welcome.
Operator: We'll move next to Michael Turrin of Wells Fargo Securities. Please go ahead. Your line is open.
Michael Turrin: Hey, great. Thanks so much. Appreciate you taking the Just a quick two-parter on the numbers, if I may. In terms of the QBO strength, you mentioned price is a leading factor there. So just any commentary you can add on how we should think about the shape of pricing on that line? Throughout the rest of the fiscal year? And then on margin, fiscal Q1 was very strong. 2Q was a touch lower than we were maybe modeling. So can you just also speak to expense timing and whether there are marketing-specific impacts to consider between those quarters as we're updating our forecast? Thank you.
Sandeep Singh Aujla: Yes, absolutely. Hey, Michael, it's Sandeep. On the QBO side, we continue to see our innovation resonate with the customer and even after we did the price changes and the lineup innovation there last July, we saw that our customer attrition again came in below our expectations. So just highlighting how the pricing power we have as well as how well the innovation truly is resonating with our customers. And when we see some of this innovation, such as 45% of our customers telling us that they're saving up to twelve hours a month, that's a meaningful increase in the productivity of getting paid five days faster. A meaningful increase to the net working capital. So these I would highlight these as areas where we're driving innovation. And it's resonating. Pricing contribution is relatively consistent throughout the four quarters. And the other thing I'll point out on QBO is momentum we have as a point of the 40% revenue growth in IES. As well as in QBO Advanced that is a contributor to the accounting line on the online ecosystem. The second part of your question was around margin. So a couple of things I would point out there. If you look across the first half, we are actually ahead of what the Street expectations were on our margin. And what we saw for is for the full year and I continue to feel really confident in our ability to deliver on our commitments for the full year. There's always things any one quarter, for example, we learned from our consumer marketing this past year that allowed us to really hone in the timing of this spend between Q1 and Q2 to really maximize that ROI. So it's really our continued discipline in spend management making sure we're maximizing the money that we're driving with our spend that drove some of that shift. But look across the first half and you'll see that we are nicely ahead of consensus. On both revenue as well as EBIT.
Michael Turrin: Appreciate all the details there. Thank you.
Operator: We'll move next to Steven Lester Enders of Citi. Your line is open. Please go ahead.
Steven Lester Enders: Okay. Great. Thanks for taking the question here and congrats to Kim as well. I guess I want to ask on the in-person, I guess, TurboTax experience that you're rolling out here. I guess, what's the hope or what's the kind of view of maybe how that changes, I guess, types of customers or could change the dynamics going through tax season here?
Sasan K. Goodarzi: Yes. Thanks for your question. A couple of things I would say. This is really the strategy which is very consistent with what we've been talking about for several years to show up where the eyeballs are. And the notion of being in, you know, 600 locations and 20 stores, one of them being a flagship in New York is actually to be seen. When you do search, whether it's through an AI app or Google, or any other platform, that we show up locally. So that's a huge part of the strategy in terms of the type of customers and same customers that we serve today, this is about reach, and it's about access because what we have found is when we engage a customer and a customer finds us and we find the customer and we are where the customer is, we win hands down based on experience, price, and then access to money. So this is just based on our incredible progress last year. The incredible results last year. What you're seeing is we're just doubling down on winning in the assisted segment. And this is one key how to do just that.
Steven Lester Enders: Thank you.
Sasan K. Goodarzi: Yes, you're welcome.
Operator: We'll move next to Brent John Thill of Jefferies. Your line is open. Please go ahead.
Brent John Thill: Thank you. This is John on behalf of Brent Thill. Just kind of one question. So the advantage of Intuit Inc.'s platform is the ability to consolidate the dozens of apps for small businesses. I just wanted to see if you could talk about the progress there and then maybe compare between the small businesses versus the mid-market you reaching the potential? Thank you.
Sasan K. Goodarzi: Yes, thank you for your question. It is really the essence of why we are winning. When you look at smaller businesses, they could have, you know, between three to 10 apps. When you look at larger businesses, they can have between 25 to 30 apps. And there's a real issue with that now more than ever where customers are spending more time trying to figure out what's going on in their business across all of these apps. They're actually spending more money than they did before. They're getting less value. Because they may have fallen in love with 34 apps. Then when they zoom out, don't know what's going on in their business. That's really been our strategy of a platform that helps customers from lead to cash but also a platform that does everything for customers. This is the power of data, AI, and HI. And ultimately being able to do everything for our customers. And so the acceleration that we are seeing across the board and particularly in mid-market and when you look at the results that we just talked about, which is online growing 20%, you've got mid-market growing at 40%. This is actually more and more customers and particularly the larger ones that see the value of having everything in one place, one because it can do the work for them. They get a better experience. But two, they may pay off more and more than likely they actually do. But they're actually spending a lot less, and that's a game changer for customers. And I think we're just based on all of our capabilities at the beginning of that cycle. It's another reason why you are seeing an accelerated set of partnership announcements with accountants. Because they actually see not only us being able to partner with them to help digitize their firm, through the Intuit Inc. accountant suite, which is a revolutionary platform we've launched, but also what we can do together to really digitize the clients that they serve. Because when clients use a lot of apps, it drives accountants crazy. And so this, this really is where the network effect comes in.
Brent John Thill: Thank you very much.
Sasan K. Goodarzi: Yes. You're very welcome.
Operator: We'll move next to Bradley Hartwell Sills of Bank of America. Your line is open. Please go ahead.
Bradley Hartwell Sills: Great. Thank you so much and I'll echo the congratulations to Kim on your next move. So many great agents in QuickBooks, this accounting agent, payments, customer, finance, the list just keeps going. Have you seen any one in particular or any use cases that you're seeing traction and what would customers say as to kind of the ROI, some of the savings here? Are there any that have surprised you that gosh, these are actually more effective than we thought and driving more value? Then what would that say about your kind of confidence and your ability to monetize these? Obviously, now it's through premium mix, eventually through separate SKUs. Thank you.
Sasan K. Goodarzi: Yes. Thank you for the question. Actually love the nature of the question. Let me start with just a zoom out first and then I'll answer your specific question. The biggest thing that we continue to learn from customers is I need help for you to do it for me and with me. Because if you think about businesses of any size, unless they're an enterprise, they do not have all the resources that come with an enterprise to do data analytics to help. They don't have a large marketing team sitting around, a large finance team sitting around, a large data analytics team sitting around. They need help in terms of how to run their business. And really, that's where the power of our platform comes in, which is that can help them with making decisions, do the work for them, can do the work with them. By the way, when technology runs out of capacity, which it always will, that's where our human intelligence comes into play. So fundamentally, this is really, really important for customers, which has helped me get things done. It's by the way why they are always seeking advice in these AI apps. To get more specific, I'll just remind us with all of the AI agents we've been in the market for about four months, a lot more improvements, enhancements, and adoption. What we've seen in four months is one, the discovery and repeat engagement since we've launched is over 80%. And the two areas that are having the largest traction are the payments AI agent and the accounting AI agent. That's why we've cited the stats where with the use of the accounting agent, folks are saving twelve hours a month, which is significant and such as the time savings. It's actually the accuracy and the insights that they get. Second is that the customers that are getting paid five days earlier foremost, because we're learning literally every day in terms of how to make these more effective. Customers don't care about AI agents. They care about getting the work done for me, and that's really where I think the best is yet to come.
Bradley Hartwell Sills: Very exciting. Thank you, Sasan.
Sasan K. Goodarzi: Yes. Thank you.
Operator: We'll move next to Taylor Anne McGinnis of UBS. Your line is open. Please go ahead.
Taylor Anne McGinnis: Yes. Thanks for taking my question and Kim. Appreciate all the help these last couple of years and wishing you all the best. So I'd like to unpack the strength of the 2Q revenue guide. With the later start to the tax season this year and also a tougher Credit Karma comp, I think it would be helpful if you could just offer some additional color on the drivers of growth. Are there any segments where you're expecting growth to be more durable with the levels that we saw in 1Q or higher than implied in the full-year guide?
Sandeep Singh Aujla: Hey, Taylor. In terms of the Q2 guide, it is a continuation of us continuing to execute on our strategy. The momentum that we saw in fiscal 2025 compared into fiscal 2026, you saw the Q1 results and you're seeing this in our Q2 guidance. Expect the momentum to continue its strength in GBSG online. We continue to expect strength in mid-market, continue to expect a CK offering to resonate with both partners and consumers. And on the TurboTax side, we're expecting similar to last several years that the IRS opens up towards the end of January. So that's our expectation going in. The couple of things that I would point out that we do expect desktop to start decelerating in the second half as we go from the 6% we saw in Q1 likely will be, you know, near the mid-single digits for Q2, but then decelerate in the second half. And on CK, in the second half of the fiscal year, the comps do get harder as we lap prior year's strong performance. But in the areas that are the key growth vectors for the company, you should expect us to continue to execute and continue to build upon the momentum.
Taylor Anne McGinnis: Super helpful. Thank you guys so much.
Operator: We'll move next to Arjun Rohit Bhatia of William Blair and Company. Your line is open. Please go ahead.
Arjun Rohit Bhatia: Perfect. Thank you so much. Sasan, if I can just go back to the OpenAI partnership for a second. I know this is just about to come live, but I'm curious if you would just venture to take a guess on when do you think customers would use Intuit Inc. apps inside ChatGPT versus when they would use kind of core or use Intuit Inc. within your own application and use your Intuit Inc. intelligence capabilities, which also have sort of natural language answers and I'm wondering if in your perspective, if that makes a difference at all or if your goal is kind of just to drive increased engagement and maybe that drives more attach and of services and agentic adoption and all the other good things that come with increased usage?
Sasan K. Goodarzi: Yes, thank you for your question. I'll start by saying companies that win will be companies that have platforms. And that they are where the eyeballs are. And that's really what we're doing with this partnership with ChatGPT. It's really for us. It doesn't matter whether the customer comes directly to using our platform or we are where they are within an app, in this case, ChatGPT. As I mentioned earlier, one, they get personalized experiences right within ChatGPT. Two, they're using our apps so the accuracy, safety, and privacy are all protected. There's unchanged. And we get to enjoy the economics that we enjoy today. So what we care about is actually being where the customer is and making it easy for the customer to have the experiences that they need to have. In terms of, you know, only time will tell. We being OpenAI and Intuit Inc. are going to absolutely nail this experience. It's going to be an amazing experience. And only time will tell relative to how much customers are at the end of the day, they're using an Intuit Inc. app, whether they're using it within ChatGPT, or they're directly coming to us, it really doesn't matter. I think only time will tell. The customer behaviors are. The good news is we're positioned for wherever the customers are, and that's what's exciting about this partnership.
Arjun Rohit Bhatia: Perfect. That makes a lot of sense. Thank you.
Sasan K. Goodarzi: Yes. You're very welcome. All right. I think that's all of the questions. Hey, before we end, I also want to thank Kim. She has been an amazing partner for all of us. Internally and she's made us better. And we are so fortunate to have had the opportunity, Kim, to work with you and the best of luck in your next chapter. And you're gonna miss all of our amazing earnings calls going forward, but we'll see you on the other side. And for everybody that joined, thank you for your time. We'll talk to you next quarter. Bye everybody.
Operator: Ladies and gentlemen, thank you for participating. This concludes today's conference call.